Operator: Welcome to the Wynn Resorts Third Quarter 2020 Earnings Call. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. I would now turn the line over to Craig Billings, President and Chief Financial Officer. Sir, you may begin.
Craig Billings: Thank you, operator, and good afternoon, everyone. On the call with me today are Matt Maddox and Marilyn Spiegel in Las Vegas. Also on the line are Ian Coughlan; Linda Chen; Ciaran Carruthers; Frederic Luvisutto; and Brian Gullbrants. I want to remind you that we may make forward-looking statements under safe harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Matt Maddox.
Matt Maddox: Thanks, Craig. And thank you for joining us today everyone. I'm sure everybody's glued to the television watching these exciting election results right now. So we'll get right into it on our results here. I'd like to start in Macau. So the third quarter in Macau was really very similar to the second. There wasn't a lot to talk about. We're still seeing roughly 8% to 10% of our visitor volumes compared to pre-COVID levels. And it was really – there was just not a whole lot going on. But as everyone has been seeing, the government of Macau with its deliberate approach and steadfastness has been working very hard to continue to open Macau. Macau was probably one of the safest places on the planet, hasn’t had COVID case in months and months and months. And everyone there is really excited to see the progress that's going on. So as an example, in the month of August in Macau, our EBITDA line was negative $40 million, because there was very little revenue and we were carrying our costs. Our team's doing a great job saving money where we can, being more efficient while protecting the local employment and all of our employees. However, in October, we started to see those trends change. So we went from 10% of our normal visitor volumes up to almost 30%, and it wasn't just over Golden Week, it was actually throughout the month. And in fact, I looked at our visitor data from November 2, 3, and 4, it went balanced, before I walked in here and we're seeing roughly 6,000 people a day come in the building, pre-COVID, that number was 18,000. So those trends that we saw in early October are continuing into November. From a revenue standpoint in October, mass drop on the table side was roughly 40% of our pre-COVID levels. And on the junket side, which everyone's been talking about the junket business, what's going to happen to it. Is it going to survive? Where is it going to go? Clearly it's changing. Clearly it will be, even as we come through this than it was before. But it's still very real. We saw 30% roughly between 25% and 30% in turnover compared to our pre-COVID levels in the junket space. So that activity produced actual positive EBITDA for us in October. So if you think about it, we went from a negative $40 million in August, which was normal, similar in July, et cetera, to a positive $6 million in October, quite a big swing. And what we are optimistic about in Macau is the way that everything has been handled there, it doesn't appear to be one step forward, one step backward, one step forward, it's been a very deliberate approach, very thoughtful. And it just feels like we are – and the market is just going to continue to get better. I don't know at what speed, I don't know what pace, but the overall mood, attitude and interjectory is quite good. In fact, looking in October at our retail sales, they were roughly flat with last year and our top five stores in Macau were up 25% compared to last year. So there's real consumer – pent-up consumer demand and it's just going to take time for the market to continue to open. But we feel really good about the current trajectory that's going on there. Moving to North America. As we talked about on the last call, we are not going to sacrifice our brand or our culture to make an extra few dollars here or there. That means, while we have significantly less staff approximately 7,400 less staff globally, now that we did pre-COVID, we are still operating at a five-star level in Macau and in North America. We are focused on making sure we have the highest room rates in the market. But we've also been focusing on making sure that we continue to breakeven or make money. And in Las Vegas, we made $20 million in the third quarter, both adjusted closer to $28 million. Some of the things that are encouraging that we're seeing in Las Vegas is we are taking share in the casino segment. We're seeing new domestic customers that we've never seen before, that previously were lifers at some of our competitors. And I think for all of the reasons that we've been laying out from our security protocols of checking everyone, when they walk in to our COVID to all of our restaurants being open, we're beginning to continue – we're not beginning, we are taking market share on the casino side. Slots in the market were down over 33% during the quarter and we were down 16%. Table drop was down about 35% in the quarter and we were down 25%. So we're just seeing more business. We're seeing higher end customers, not a lot, but we're seeing – I believe, we are gaining share on that front. In October in Las Vegas, we actually had our best month. We generated roughly $14 million of EBITDA in October. We had a little bit of hold lock in there maybe $2 million, but overall, it was a very good month. Now, as everyone on the call knows, Las Vegas has seasonality and we're coming in to the slow time. So COVID cases are picking up in the U.S. obviously, and November, December are quite slow in Las Vegas and have been heavily reliant on group. So our team – so October will not be repeated in November and September, but it shows that – when there is just a little bit of business with the way we've restructured our expense line, the amount of operating leverage that we have now revenue quickly converts into EBITDA. And our focus as things do get a little slower during the winter is to make sure that we stay EBITDA positive. That's what we're going to do in Las Vegas. And I would think – it's hard to tell, but I think Wynn Las Vegas probably was the most profitable integrated resort casino on the strip, or if not the most, it was definitely at the top of the list. So our strategy is working, we’re maintaining our brand, we’re maintaining our culture and we're making a little bit of money. Moving to Boston. Encore Boston Harbor is really starting to hit its stride. So we generated roughly $26 million in EBITDA, significantly more than we ever have in the past during the quarter. And our team has really learned how to be a super regional operator. We focus during the shutdown on how to run Encore Boston Harbor differently than we were, because clearly what we were doing was not quite right. And so we have – we've had a laser focus on the casino segment. And what it is that those customers want and how we're going to deliver it. And if you look at our results, slot handle per day, just overall volume per day was actually up over last year. It's pretty extraordinary, when you think about we 1,800 slot machines open during this third quarter, compared to 3,000 last year and volume was higher on a daily basis. Wynn per unit was over $400 on 1,800 units, so I think $407 compared to $219 last year. So Encore Boston Harbor is really starting to understand how and we are starting to understand what that market is, how to market to those customers and how to monetize there. Massachusetts recently just this week announced that starting over the weekend, restaurants, bars, casinos, et cetera, will need to close, COVID-related, starting at 9:30 at night. That's clearly a setback for us, but it's very temporary. And I'm sure it's the right thing to do from a health perspective. The government of Massachusetts has done a terrific job throughout all of this, managing this from Governor Baker to the Massachusetts Gaming Commission. So we view it as a temporary setback, but it's really nothing that we're worried about because our business model is sound. And I think that we're going to continue to see increases in revenue and increase in EBITDA out of Encore Boston Harbor. Moving onto – one more topic, this is a new one for us. There's been a lot going on in the gaming world concerning sports betting and in particular online sports betting. We've been very focused on this topic for the last couple of years, but we've been admittedly quiet about it. In 2019, working with Craig Billings, who is helping me run this effort. We decided that we wanted to focus on product first. So how could we have the best product, because that is who we are when it comes to sports betting, online sports betting? We scoured the earth and we found a company in the UK called BetBull. And the Founders and the operators of that company, we had a great cultural fit. They were the Founders of Bwin and Party and understand this intimately and they’ve built a product in the UK, it was really very social. So the engagement that they had with their customers was quite extraordinary and therefore, their KPIs were really, really good. So when you see your friend making a bet, it will pop up on your phone. Do you want to follow your friend? It's very parlay heavy. It moves you into chat rooms quickly. It's fun. It's a lot of fun. And their user acquisition costs in the UK and their LTVs were quite attractive relative to industry standards. So we made an investment in that company in 2019 and began working on U.S. rollout with them. We then move forward and we acquired that company. We own 70% of that company now, and they are a fully integrated in, we have 150 people inside Wynn Interactive and we've begun our U.S. rollout. So quietly, we can now talk about it. We have signed market access deals in the United States in nine states that represents about 25% of the total addressable market. I think a lot of the analysts on this call say that that's roughly $20 billion to $30 billion. So we already have access to 25% of that. And we're in very active dialogue, definitive documentation in many cases on seven additional states, which represents another third of that market. So the way that we're going, we think that we'll have more than half of the total addressable market through market access deals, underway in winner active in fairly short order. We have launched WynnBET our product in New Jersey. We're learning a lot. We have product releases every two weeks and so far and Craig will talk a little bit more about this, our CPAs are quite good and it's encouraging what we're seeing. So we will be rolling out this product into various markets where we have access. And it's something that we have a lot of focused on. We've invested $80 million within – into that company to focus on user acquisition and continued development over the next few months. And we've had lots and lots of interest from various people wanting to co-invest, wanting to be a part of it. And what I've been focused on along with Craig is, we're going to build an amazing product and have a real business opportunity and roll it out. And that's where we are and feel very good that, while currently Wynn Interactive does roughly $20 million in revenue, that number is going to grow at a exponential rate as we move forward. So with that, I think I'll go ahead and open it up to Craig to talk a little bit more about the quarter.
Craig Billings: Thanks, Matt. I'd like to start with a few points on liquidity and operating expenses. As of October 31, our global cash and liquidity position was over $3.4 billion, providing us with significant runway to weather the pandemic. In Macau, we had approximately $2.2 billion of available liquidity as of October 31, in the U.S., we had total available liquidity of approximately $1.2 billion on October 31, with substantially lower domestic daily cash burn, as demand has started to return to each of our markets. Meanwhile, we continue to be very focused on operating expense. Compared to the fourth quarter of 2019, our global FTE count has decreased by nearly 7,500 or 30%. And our global payroll and non-variable expenses declined by nearly $200 million or 34% leading to consolidated OpEx per day, inclusive of corporate and exclusive of gaming taxes of $4.8 million compared to $7.6 million in Q4 2019. While these are often difficult decisions, many of the changes we made to achieve these decreases are permanent and will drive operating leverage as business volumes return. It's important to note that the 3Q OpEx numbers I just mentioned, and those that I will mention throughout my remarks exclude the benefit of a reversal of certain payroll and incentive accruals totaling approximately $50 million, which are reflected in our earnings release. In Macau as Matt noted, we have been encouraged by performance during October, as we delivered positive normalized EBITDA during the month driven by solid gaming and non-gaming performance, as well as a continued focus on cost control. Gross gaming revenue per day in October was approximately 33% Q4 2019 with premium mass strengthening into the later portion of the month. With respect to cost controls, our OpEx again, excluding gaming taxes and excluding the reversal of certain performance-based incentives accruals in the third quarter was approximately $2 million, this is down from approximately $3 million in Q4 2019. At Wynn Las Vegas we generated $20.3 million of adjusted property EBITDA, or approximately $28 million adjusted for lower than normal hold from a business that is heavily weighted to weakened occupancy. In the casino, we saw broad-based strength across key segments with both table drop and/or reaching 78% of Q4 2019 levels during the quarter. We remain focused on cost discipline in Las Vegas with our OpEx per day, excluding gaming taxes and excluding the reversal of those performance-based incentive accruals decreasing to $1.8 million per day in Q3 2020 from $3 million per day in Q4 2019. In this environment of suppress group demand, we expect recent trends to generally continued throughout Q1 2021. We believe the combination of meaningful permanent cost saves along with increased group demand position as well to accelerate our recovery as we move into the back half of 2021. In Boston, we reopened in July with a number of safety related operating restrictions in play. As Matt mentioned, our reopening plan there was focused on operating only those amenities that support the casino. Overall, we have seen encouraging trends in the casino, particularly in slots with handle per day operating day up approximately 5% versus Q4 2019. Similar to Las Vegas, we made a number of operating and staffing adjustments resulting in daily OpEx down from Q4 2019, by approximately 40% to approximately $750,000 per day in 3Q 2020. Our CapEx in the quarter was $69 million. As noted last quarter, the vast majority of our CapEx plans remain on hold and we're only proceeding with the highest priority projects. Finally, in October, we entered into a series of transactions resulting in the creation of Wynn Interactive through the merger of BetBull, our strategic partner for digital gaming and several Wynn owned entity. I'd like to welcome the BetBull team to the Wynn family. This new subsidiary Wynn Interactive is 71% owned by Wynn Resorts and positions us well to advance our sports betting and online casino business during 2021. WynnBET our sports betting and online casino application has been live in New Jersey for several months. And while it's early days, initial returns on our user acquisition spend have been encouraging. Over the next two quarters, we anticipate going live in Colorado, Michigan and Indiana. We have posted a series of slides on our IR website, further outlining the Wynn Interactive business. We're excited to tell you more about that business as it develops in 2021. With that, we'll now open up the call to Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Carlo Santarelli from Deutsche Bank. Your line is open.
Carlo Santarelli: Hey, guys, good afternoon and thanks for all the details. Matt, as you see kind of Macau is starting to ramp up and shape up. Obviously, and you guys mentioned it in your remarks, the premium mass performance has kind of picked up through October. When you think about the VIP environment and the premium mass environment, if you look out – look over the next one to two to three years, relative to 2019, how would you characterize your expectations for the mix of those two segments within the GGR channel?
Matt Maddox: So if you look at our business model, Carlos, we're not reliant on 50,000 people coming through our doors a day, we are in the premium business. So we feel quite good about the premium mass and premium spot segment. There is continued customer demand. Lots of people like to point out, various issues. But when you think about Macau, it's positioned and how important it is in the Greater Bay area and the development of Macau into a global destination – global tourist destination for the Greater Bay Area, we feel very, very good about our position in particular, on the premium mass side over the next couple of years. We have the right product. As far as the junkets, again, lots of conversation about junkets that business is not dead as some people like to say. We saw – get back to 25% to 30% of its previous levels. I believe it will continue to consolidate with some of the largest operators and we will continue to participate in it. So I don't anticipate that junket business will be back to 2019 levels, because it is consolidating and it is shrinking, but the Macau market overall is very well positioned to be one of the top tourist destinations in Asia over the next three years. Operator, next question.
Operator: Our next question comes from Joe Greff from JPMorgan. Your line is open.
Joe Greff: Good afternoon, everyone. Just kind of going back to the trends that you saw in Macau in October and month to date, there is a big difference in terms of the premium mass, looking at it versus a year ago, in terms of minimum bet, length of stay, its ability to move around between your Peninsula property and your Coast side property? And is there a big difference in the recovery, whether it's on the Peninsula or Coast side as well?
Matt Maddox: Sure. Ian, why don't you take that answer – that question?
Ian Coughlan: Sure. We've noticed very strong premium mass pickup in both properties and they are different destinations, but one hasn't grown at the expense of the other. So we're very encouraged by premium mass activity in Wynn Macau and Wynn Macau Palace. In terms of the type of player, their wallet size, their length of stay, the biggest noticeable factor has been their length of stay previously it was approximately two nights, it's been up to three and four nights over the last six weeks. So we're very encouraged. Both our properties are niche, luxury products that are completely geared for premium mass and VIP. And we've really benefited from that, we've grown market share. And looking out to the future, we see premium mass continuing to grow on both properties.
Joe Greff: Great. Thank you, Ian. And then Craig, my follow-up question is on Wynn Interactive. Can you talk about the future intentions to fund and invest in Wynn Interactive? I guess, when you look at it now, how sufficiently capitalized it's a fund growth into Colorado, Michigan, Indiana and in other markets?
Craig Billings: Sure, Joe. First of all, we're big believers in the segment. The digital business is, as you know, is all about customer lifetime value and marketing spend to obtain that lifetime value. So our marketing plan involves a combination of out-of-home advertising partnerships like you saw with NASCAR and digital marketing. We seated the business with $80 million and we'll deploy marketing spend at scale as long as it continues driving the appropriate customer lifetime value.
Joe Greff: Great. Thanks.
Matt Maddox: And Joe, it's Matt. We've had a lot of interest, as you could imagine from various very large financial investors to other strategics to public markets wanting to be a part of this. And we've been really focused on making sure that we build this business correctly, that we own the vast majority of it. And I'm sure over time there could be other funding sources, but only on our terms.
Joe Greff: And just as a follow-up Matt or Craig on this, do you have an option to buy out the other 29 tenants under pure conditions or anything like that?
Matt Maddox: No. We actually love our partners. The Founder of BetBull is in that stub equity, Norbert, one of the founders of Bwin is in that stub equity. We're delighted to have our partners.
Joe Greff: Thanks, guys.
Operator: Our next question comes from Felicia Hendrix from Barclays. Your line is open.
Felicia Hendrix: Thank you so much. First, just as a housekeeping and I know we've kind of moved past this period with the kind of power in October, but can you just help us know what the whole adjusted EBITDA was in Macau for the quarter?
Craig Billings: It was essentially as reported.
Felicia Hendrix: Okay. So the one offset the other.
Craig Billings: Yes. That's right.
Felicia Hendrix: Okay. And Craig, the detail on the OpEx by segment was super helpful. And I know you've talked about a lot of the costs that you removed, but I would have seen that as we got into a more normalized environment, some of those costs will return. So if we're trying to model out looking into the future, how should we think about the OpEx, again, assuming that some of those cost will return?
Craig Billings: Yes. It's a good question, Felicia. Thank you. In the U.S. both properties Q3 OpEx was pretty consistent from reopening through October once you adjust for those accrual reversals that I mentioned. So we think those OpEx levels are reflective at the current environment and certainly sustainable for the near-term, particularly with the adjusted hours at Encore Las Vegas. In Macau, we saw a modest increase in variable expenses per day as business volumes returned in October. OpEx was up a little over 10% compared to the $2 million per day I mentioned in Q3, again, adjusting for those accrual reversals. Of course, that's compares to revenues that were up a lot more than that, which is why we were EBITDA positive. Overtime, a good chunk of the cost savings that we have implemented will be retained. And that's particularly true in the U.S. where I think we're actually running our businesses differently, while maintaining the appropriate level of brand standards. So it's a little early to give you guidance on what portion will come back, but a significant chunk will stay out of the business. And that's how we'll drive operating leverage as the business returns.
Felicia Hendrix: Okay. Thank you. And then just moving to BETWIN and Matt, you said that the curfew would be shirtless, as we think about the impact of the curfew, what is your customer mix usually look like at night versus during the day. There was an effect during the day or the traffic is heavier at night. What kind of impact do you think that you might have on the property?
Matt Maddox: Sure. So clearly it will have an impact, so more than half of our revenue is generated between – at night. So closing at 9:30 is going to have quite an impact. What we're going to do is, we're going to have a much lower operating expense. So we're likely going to see our FTE count go down by somewhere between 670 and 1000 people during this. So we will continue – I believe, we'll continue to be able to be EBITDA positive, but it's unclear how much. We want to stay above zero during this closure, because again, more than half of our revenue is generated at the time when we'll be closed. And so I think some of that will come when we're open and we're going to offset it with expenses. Brian, our Property President from Encore Boston Harbor. Brian, do you have anything to add to that?
Brian Gullbrants: No. I think in continuing with all our marketing efforts, we're not changing a thing. We're really focused on making sure we're driving business, while controlling all expenses. So the team's done a great job and we'll continue to do that through this and adjust as necessary.
Felicia Hendrix: Great. Thank you so much.
Operator: Our next question comes from Shaun Kelley from Bank of America. Your line is open.
Shaun Kelley: Hi. Great. Thanks for taking my question, everyone. Just maybe for Matt or Craig, as we think about Macau a little bit longer term, and you're starting to see this rebounding trajectory. I just wanted to kind of think through the segments. And do you think there's any particular reason just given the product that you have in the market that you shouldn't be able to return largely to your normal kind of pre-COVID market shares? Is there anything that's changing enough that you think that that sort of that market share that you've had in the past, is no longer plausible? Or do you think that, when some of the junket pieces recover in particular and given the product that you could still do okay there?
Matt Maddox: Sure. So I think, just to be totally fair, our top line market share will likely might not get quite back to 2019 just because the junket business will unlikely get back to where it was in 2019. But when you look at what the EBITDA contribution was out of that segment pre-COVID, I'm talking about junket business, it was between 10% and 15%. So our EBITDA and EBITDA share, I think we'll be able to get back to the pre-COVID levels because we were already very premium mass and premium spot heavy. And that has been the focus of Linda Chen and Kenny and our full marketing team. And they're doing a very good job there. And I think we're really well positioned given that the overall crowds or customers will likely be less. I don't think Macau will be getting back to a hundred thousand people a day in the short term. So focusing on the higher end in the premium segment, which is where we are, I think will actually be an advantage in terms of our EBITDA and EBITDA share in the market.
Shaun Kelley: Thanks for that. And sort of as a follow-up on the same theme. I mean, Craig, you walk through some of the operating expense statistics and you talked about them for Vegas, but you've also been able to probably optimize Macau a little bit more. And appreciate that, the headcount piece is not particularly negotiable, but there's going to be some mix shift here as it can relate to mass versus VIP and other things. So do you think there's prospects for sort of higher go-forward margins in Macau and does any insight or color you can provide on how you think at least the non-tax OpEx piece is playing out there?
Craig Billings: Sure. First of all, the team has done a tremendous job continuing to support local employment, but dealing with controllable OpEx, they've implemented any number of programs with really with every dollar matters approach. And I can tell you, we're incredibly happy with how they've done that. A number of those saves, which are admittedly less than in the U.S., because you're right, labor is less flexible. A number of those saves will be permanent. I alluded – actually I stated in my prepared remarks that OpEx came back about a little over 10% in October relative to the $2 million per day that we experienced in Q3, which was reflective of some of that variable expense coming back as players came back. But a reasonable chunk of what they've done will provide margin enhancements over time.
Shaun Kelley: Thank you very much.
Operator: Our next question comes from Thomas Allen with Morgan Stanley. Your line is open.
Thomas Allen: Thank you. On the interactive side, there's a lot of discussion about how competitive the New Jersey market is having operated there for a little. And Craig and the team – the Wynn team having operated in Europe, does that concern you at all? And then can you also just talk about the NASCAR partnership a little bit? Thank you.
Craig Billings: Sure. Happy to do that. So first of all, again, this is a business of customer lifetime value and cost per acquisition. And customer lifetime value and cost per acquisition have to make sense in order to deploy marketing spend. We have a tremendous brand, that brand has – will we believe and has in our social casino segment allowed us to acquire at a rate that is cheaper than the overall prevailing market. We intend to leverage that brand. We intend to leverage the land-based assets that we can bring to bear to be competitive. At the same time, every two weeks, as we're putting out a release, we're going to make our product better and better and make it the fitting of Wynn standards. And we think that that will drive an outside's customer lifetime value. And so, if you can drive a higher LTV and you can drive a lower CPA, you can scale a business like this, and we intend to do so. With respect to NASCAR, we have a long history with NASCAR. Actually, we we've hosted them a number of times at Wynn Las Vegas and the group and convention business. We have a tremendous amount of respect for them as an organization. And we were delighted to partner with them in pursuit of a license in Virginia. Today that relationship is very focused on Virginia, but we'll see where it goes.
Thomas Allen: Good color. And then just on Macau, can you just talk a bit about like the competition in the premium mass segment? Are you seeing any increase level of competition or anything, anyone doing anything irrational? Thank you.
Matt Maddox: It's Matt, from my perspective, it seems like everyone's being – promotions are in check. People are just focused on trying to do what they can and watch the market come back. But Ian is there anything or Linda that you'd like to add to that.
Ian Coughlan: There hasn't been any shift in increased promotional activity. Everybody's being very measured and careful about it. So I don't – nobody's gone crazy at this point. There's enough business going around the premium mass the story and the tone we feel particularly encouraged because it's our market when we've got two niche these properties, so nothing unusual.
Matt Maddox: Operator, we'll take one more question.
Operator: Our final question comes from Stephen Grambling from Goldman Sachs. Your line is open.
Stephen Grambling: Hi. Thanks for speaking me in. Two questions, first on Wynn Interactive. As you are looking at the very early results how does the customer base compare, contrast, overlap with your existing customer base? And how does that inform you of the opportunity in sports betting versus potentially interactive gaming?
Matt Maddox: Craig, you want to take that?
Craig Billings: Sure. Great question. So, obviously we're a casino brand. We're a very strong casino brand. So we think there's a lot of opportunity for us in high casino. On the customer acquisition side, the brand provides a distinct competitive advantage. I think that's true for some of our peers as well, but that's particularly true for us given the national recognition and premium nature of our brand. So we think that's an acquisition advantage. On the sports side, we've obviously operated our own sports book for many, many years. We understand trading, we understand what excites the customer and where the market is. And we are working with the team and the BetBull team that understands that as well as we do. So, in terms of database overlap, I mean, that's not going to be enough to scale any digital sports betting business. To be honest, you have to understand what the customer wants. You have to build a product to it, and you have to scale into that. And that's what we're in the early stages of doing in New Jersey.
Stephen Grambling: Fair enough. And maybe for a follow-up just on Las Vegas. Can you give any color on what you're seeing or really more what you're anticipating in terms of international demand and/or group meeting convention demand recovering?
Marilyn Spiegel: So, this is Marilyn. The international demand that we're seeing is for the casino side is limited to people who are already here in the United States. And so we have been pleased with the baccarat business that we've seen. And we have them returning frequently to us. These may be folks from Southern California or someplace domestically. In terms of – you said convention business international, there is none.
Stephen Grambling: No. I guess the question was what percentage of the mix was convention and was international as we think about that effectively at zero now, and you're already seeing a pretty healthy recovery in betting and really revenue and EBITDA. I'm trying to think about layering that back on at some point, and whether you can retain what you have currently?
Marilyn Spiegel: I do think we can retain what we have. I mean, the convention business traditionally was about 30%. And so between casino and leisure and transient, they've all kind of equal out. But clearly our casino customers and our higher end casino customers are coming frequently. They are betting more, they have more sessions.
Craig Billings: And Stephen, I would just add. Our group bookings for the back half of 2021, looks pretty consistent with what you would expect for the back half of any given non-COVID year and we obviously have a lot of capacity in the hotel. You can see that in our occupancy. So we believe we can maintain the momentum that we have. And then when you layer group and convention back on, on top of an OpEx base that is lower than it has historically been, it's a pretty good recipe for operating leverage.
Matt Maddox: And one of the things that we've done is, we will finish this year our own PCR COVID testing lab. And we've partnered with a really strong group out of New York on top of a hospital here. It's under construction now. It's not a lot of money. It's a couple of million dollars, but we will be able to facilitate thousands and thousands and thousands of saliva-based tests that can be distributed throughout the property and turned around within five to six hours PCR. We're not talking antibody or antigen test here. With sensitivity rates and the 98% specificity rates over 99%. So the gold standard in terms of testing and what I've been talking to our elected leaders about is, this could be one of our opportunities as we get through this to get entertainment going again, to get conventions going again, that we'll be able to test thousands of people in a very short period of time so that they can be together. We will be creating safe zones throughout our property. Not for the whole property, but any place like a theater or in a convention where we want to get more people together than 50 or 250. So that's underway. The team is being built. It'll be finished this year. And the best thing would be if we never have to use it, but I'm not sitting around hoping that that will be a good strategy. We're going to be ready and we'll be the first ones, really probably the first ones in the U.S. to do something like that. And a lot of people are paying attention to it. And I think it's going to be a good blueprint to help get Las Vegas back.
Stephen Grambling: That’s helpful. Thanks. Best of luck.
Craig Billings: All right. Thank you everybody for joining the call today. We'll talk to you next time.
Matt Maddox: Thanks.